Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Invacare 2018 Second Quarter Conference Call and Webcast. [Operator Instructions] This conference is being recorded, Wednesday, August 8, 2018. I will now turn the call over to Lois Lee, Invacare's Director of Treasury and Investor Relations. Please go ahead.
Lois Lee: Thank you, Mitchell. Joining me on today's call from Invacare are Matthew Monaghan, Chairman, President and Chief Executive Officer and Kathy Leneghan, Senior Vice President and Chief Financial Officer. Today, we will be reviewing our second quarter 2018 financial results and providing investors with an update on our transformation. To help investors follow along, we have created slides to accompany this webcast. For those dialing-in, you can find the link to our webcast slide presentation that we will be referring to during today's call at invacare.com/investorrelations. Further information can be found in our SEC filings. Before Matt begins, I'd like to note that during today's call we may make forward-looking statements about the Company that, by their nature, address matters that are uncertain. Actual future results may differ materially from those expressed in our statements today due to various uncertainties and I refer you to the cautionary statement included on the second page of our webcast slide and in our second quarter earnings release. For an explanation of the items considered to be non-GAAP financial information will be discussed on today's call such as constant currency net sales, constant currency sequential net sales, constant currency SG&A, free cash flow, EBITDA, and adjusted earnings and loss; please see the note in the Appendix of our webcast slide and in the related reconciliations in the earnings release posted on our website. Today we will review the financial results for the second quarter 2018 as well as provide an update of our transformation strategy and progress to-date. We will close with any questions you may have. I will now turn the call over to Matt Monaghan.
Matthew Monaghan: Thank you, Lois good morning. As you’ll notice we provided a format of our webcast slide to make it easier to follow today’s call and to understand our progress. [indiscernible] for better comparison to last year and sequential quarters as Lois highlights some of the more detail explanation included in the earnings release and 10-Q. We hope you find this format informative. Before jumping right into the numbers I want to reflect on our last year’s progress especially in North America on the anniversary of resolving the [Taylor] restrictions of our consent decree and of launching the industries first complex Powered Wheelchair with informatics. We’ve continued to make progress across the company working to reinforce our quality culture, drive profitable sales growth, enhance our product portfolio and be more efficient. As we will discuss in a moment, the results have been positive where we had strong focus. I am pleased with the improvement over the past year and the mobility and seating and lifestyle product categories, we expect continued progress in these areas. With that underway, we have recently shifted our focus to channel performance and the continuing care and the very dynamic respiratory product categories to ensure we are connecting with customers and visible for end users with great products and brand presence. In Europe as previously guided our miles renovation continues and good things are happening in Asia Pacific with the teams there. There is still significant work ahead of us for the next two years. The environment we have created for executing our plan was good. Our emphasis on a quality culture and increasingly efficient operations gives us a solid business foundation. Alignment with customers and our strong portfolio of solutions should continue to enable growth. We expect a methodical approach for the transformation to deliver the projected result. What makes the biggest difference though is our associates, we can’t make it up for what they have accomplished as we execute this transformation. On balance, the heavy lifting ahead is reasonable compared to the incredibly heavy lifting the team has already done so well. Now let's talk about the results in the quarter. Slide 4 provides key highlights of second quarter 2018 compared to last year with good results in many areas. Reported net sales increased 5.4% from $233.5 million to $246.2 million. Operating loss was $6.8 million and improvement of $8.9 million. EBITDA was negative $3.2 million and improvement of $8.8 million. GAAP loss per share improved $0.22 to a loss of $0.50. And adjusted net loss per share improved $0.22 the loss per share of $0.41. Free cash flow usage was $24.6 million compared to usage of $22.4 million last year Net sales increased 5.4% globally compared to last year primarily due to favorable foreign exchange growth in North America HME, continued growth in Asia Pacific partial offset by a decline in IPG. Constant currency net sales decreased by 0.5% with the projected slight decline in Europe offset by growth in North America HME and Asia Pacific. Especially powered mobility and seating product results. These results reflect the company’s continued focus on and investment in more clinically valued higher margin product, as well as continued benefit from exiting the injunctive phase of the consent decree in United States in July 2017. Gross profit increased compared to last year by $2.3 million and gross margin declined by 40 basis points. The gross margin decline was entirely driven by expedited freight costs in the North America HME and Europe segments. Constant currency SG&A expense continue to decline compared to last year by $5.1 million or 6.7% as a result of actions taken in the second half of 2017 and including lower stock compensation. Compared to last year operating loss improved $8.9 million to a loss of $6.8 million. EBITDA includes $8.8 million to negative $3.2 million. Both operating loss and EBITDA improved due to improved operating results in the North America HME and Asia Pacific segment and reduced restructuring costs. Operating loss and EBITDA also benefitted from a decrease of $2.6 million in equity compensation expense compared to second quarter of 2017. Sequentially both operating loss and EBITDA declined primarily due to increased SG&A expense primarily driven by employment cost. Interest expense increased compared to last year by $2.2 million due to the convertible debt issuance in second quarter 2017. I’ll now turn the call over to Kathy to review segment performance and balance sheet.
Kathy Leneghan: Thanks Matt. Turning to Slide 5, during the second quarter 2018 reported net sales in Europe increased 8.1%. Constant currency net sales declined 2.3% compared to last year with declines in all product categories. As guided sales in Europe were expected to decline as we strategically applied the transformation to this segment to focus on more clinically valued higher margin products. Sequentially constant currency net sales grew 6%. Gross profit dollars increased compared to last year primarily as a result of favorable foreign currency partially offset by unfavorable manufacturing variances and expedited freight costs related to previously announced facility consolidations which are expected to continue into the fourth quarter 2018. Operating income decreased by $1.9 million principally due to the same items which impact the gross profit, as well as increased SG&A expense. For North America/HME reported sales increased 2.8% and constant currency net sales increased 2.3% compared to last year. As a result of some key commercial wins in the first quarter and continued benefit from exiting the injunctive phase consent decree we realized sales growth of greater than 10% in mobility and seating product compared to the same quarter last year. Lifestyle products also reflected growth while respiratory sales declined. The decline in respiratory products was in stationary concentrators and home filled product partially offset by an increase in portable oxygen concentrators. This is the fourth consecutive quarter of flat to positive sales growth for North America/HME primarily driven by mobility and seating product. Gross profit and gross margin decreased compared to the second quarter last year primarily due to higher expedited freight expense partially offset by reduced warranty and R&D. Operating loss improved by $4 million compared to last year related to net sales increases and reduced SG&A. In the IPG segment, reported net sales decreased by 10.6%, and constant currency net sales declined 10.8%. The decline was principally due to lower bed products sales as a result of a supply disruption which was resolved by the end of the quarter. Gross profit declined as a result of lower sales while gross margin improved. Operating income declined $0.3 million compared to last year principally due to a decline in sales partially offset by reduced SG&A and warranty expense. In Asia/Pacific reported net sales increased 13.8% compared to the same period last year. And constant currency net sales increased 31.1% primarily driven by mobility and seating product. Gross profit and gross margin increased compared to the same period last year. Our operating income improved by $1.7 million to a positive $1.6 million compared to the second quarter 2017 as a result of net sales growth favorable manufacturing variances and reduced R&D expense. Free cash flow in the second quarter 2018 was negative $24.6 million and additional usage of $2.2 million compared to the second quarter 2017 primarily due to increase working capital related to inventory and higher interest payments due to the convertible debt issuance in the second quarter of 2017. Historically the first half of the year is the most cash consumptive due to the timing of certain payment. As example, customer rebates and employee bonus when earned and increase inventory build in the first half of the year. As previously communicated we estimate free cash flow usage for 2018 will be $40 million consistent with 2017 and including incremental investments in capital and working capital to support growth. We believe the cash balances and available borrowing capacity under our credit facility should be sufficient to fund our transformation. As of June 30, 2018, we had zero drawn on our revolving credit facility. As reflected in the cash conversion days, day sales and receivables were approximately 48 basis at the end of the second quarter compared to 47 days as of December 31, 2017. Days inventory were 69 at the end of the second quarter as compared to 67 as of December 31, 2017. The increase in working capital is consistent with increased sales and mobility and seating, which are the long core to cash cycle. I'll now turn the call back over to Matt.
Matthew Monaghan: Thank you, Kathy. I'd like to provide an update on our strategy, the actions we have undertaken towards our goal and progress to-date. On Slide 11 you'll see the outline of our cash to profitability and $100 million EBITDA run rate target by third quarter 2020. Plan is divided into 44 parts. In Europe we look to increase sales by an additional $25 million to $40 million through third quarter 2020, which would contribute $12.5 million in EBITDA. With the strong portfolio of products and a great sales force, and we are confident this is achievable. Additionally we see opportunities to stream line operations and improve efficiency, which should be the $12.5 million of lower annual operating expenses. Previously as part of this initiative, we announced the transfer of manual wheelchair manufacturing from Sweden and Switzerland to an existing facility in France to create center of excellence in this product category. We incurred higher freight cost in this quarter, which unfavorably impacted gross margin. This may not taper up until fourth quarter as we complete the operational transition. Once we integrate it, we anticipate annual cross savings of $3.3 million. In North America 50% of the contribution to EBITDA will come from additional sales and mobility in seating, post acute care, and respiratory product. Our recently introduced TDX SP2 Power Wheelchair with LiNX information technology and our Platinum Mobile Oxygen Concentrator with Connectivity has industry leading informatics platforms, which we believe will change our providers interface with end users and respectively manage their business. In mobility and seating, we're in good alignment with our customers helping them more effectively address patient needs. For portable oxygen concentrators, we plan to increase SG&A expenditures to stimulate growth, build brand awareness and further develop our channel presence. We may continue to see the negative impact of mix shift in cannibalization and respiratory in the short-term as we emphasize our ambulatory oxygen solutions. A great product portfolio with strong customer relationships give us confidence, we can rebuild this part of our business with stronger product mix, greater brand awareness and efficient channel trade. Finally in North America we have completed over $24 million in cost savings since late 2016 and continue to look for opportunities where we can be more efficient and cost effective. In 2018 and 2019, we will continue to make foundational investments in the business, so we can ultimately operate more efficiently and better serve our customers. These changes will continue through 2019 as we discussed in our overall transformation plan. On Slide 12, in our future vision and goal for the company, our vision is to leverage our strong technical capabilities for solving clinically complex needs and making life experiences possible for the people who use our products. It's something that I and all of our employees are proud of it doing. Our goal is to execute well with products that will enable solid financial performance to our investors. The company will continue to emphasize culture of quality excellence and achievement of its long-term earnings potential. We made tremendous progress towards reshaping the company. We have seen very positive encouraging growth in mobility and seating segment with sales increasing by greater than 10% in North America HME compared to last year. Both operating income and EBITDA have improved significantly year-to-date compared to 2017. Although it will not be a straight line path every quarter to a $100 million EBITDA target, our recent performance gives us continued confidence in our plan. Invacare seems to be strong and in a competitive position going forward in 2019. We expect continued growth in mobility and seating products, stable life style products, focus on growth and respiratory and ICG with continued good performance in Asia Pacific. We appreciate the continued support of our shareholders and associates throughout this process. The long-term strategy to rebuild this business to be a sustainable leader in the markets we serve. And with that, I'd like to thank you for taking time to be on the call this morning and we will now open the phone line for questions. Mitchell?
Operator: [Operator Instructions] And we'll take our first question from Bob Labick with CJS Securities.
Bob Labick: Hi, I wanted to start in mobility and seating. Congratulations on a really nice ramp and recovery thereafter one year after some under the injunctive phase. Can you talk about the next steps - next product milestones how you go about regaining that share and how long this can take. What should be looking for is this just a slow and steady recovery. Is there new milestones to pay attention to, talk about the pathways?
Matthew Monaghan: Sure thanks for the question Bob. Seating and mobility is incredibly strong portfolio segment for us where I think our product solutions reflect a good understanding of end-user needs and alignment with our customers. So it’s a combination of things. We had a huge decrease in sales from part of the seating and mobility segment which has been coming from Taylor Street as a result to consent decree. But building back that business we look at the whole portfolio not only our great SP2 power wheelchair products but other products in that category. We continue to launch software updates now we have informatics platform to that and we see other areas where we can expand that same kind of technology but beyond power wheelchairs we have a great lineup of active manual wheelchairs, passive manual wheelchairs and the Alber power arbitration system which makes really higher and unique solution combinations for end users that our customers should find useful as they appeal with user need. So we expect a continued strong portfolio, a great pipeline of products to come out in combination with minor software updates along the way like we all encounter in electronic lives elsewhere. And then just timing the market to continue to grow. That product portfolio is already been successful in North America starting to grow. It will be continued slow steady including into future we expect and that portfolio is also demonstrating good growth outside United States.
Bob Labick: And then jumping over to the portable oxygen concentrators. It seems there's an increased focus and shift in focus into that category for you. Can you talk about the decision to spend behind it and what your expectations are and how you hope to this to play out?
Matthew Monaghan: Yes, I think we’re incredibly proud of our product that we have that has novel features and connectivity that help as user, get more impurity out of the product and help providers interact with their customers in more efficient ways which is good for everybody. Based on the same proprietary technology we have for other products like our car wheelchair. One of the big problems that we see in the marketplace today is consumer's confuse a certain product brand name with the product category. And I think as you'll see many manufacturers getting into this product space more direct we making consumers aware that there are alternative and great alternative products out there. But for us number one is making sure consumers understand that our product is out there and we are confident once they realize that the multi product category and product comparisons we’re going to show very well. So our number one focus is on brand awareness and we’re just making sure the channels really fishing out there so consumers can trend that easily in the marketplace. We will be spending some more SG&A dollars in the second half of this year to make those efforts affective.
Bob Labick: And I assume not only the second half but if successfully you would carry that into by spending next year as well and is that correct?
Matthew Monaghan: Yes probably, yes we have seen we’re going to be able to demonstrate that’s affected by the end of this year we would continue on.
Bob Labick: And then last one from me, the European margin was impacted you said obviously by some of the facility consolidation in the freight et cetera which could carry on through Q4. Do you expect more of that next year with additional cost savings should margin recover into next year. And how generally should we be thinking about European margins?
Matthew Monaghan: Yes, if we took - and yes coming on gross margins generally you know this quarter we had a slight decrease in gross margin overall. In Europe entirely due to manufacturing branches and expedited freight with that center excellence we’re creating in France if those had gone away we would have shown gross margin improvement which is what we expect overall. We’re just at the beginning phases of driving efficiency into our European operations. We have great systems work underway that help customer self-service and lower friction ways of transacting with Invacare and Europe I think over the long-term we’ll continue to see good gross margin improvement this quarter. We could see that with temporary cost as we undertake other transitions in Europe that maybe periodic times for that it happens again. In North America we had another quarter where inventory wasn’t quite the right place we had some bed supply issue and we chose to solve backlogs in the short-term by expediting freights and we will get some gross margin there. But generally we look very favorably on continuing gross margin progress. Even the mobility growth is favorable for us in gross margin, lifestyle is stable we seen in several quarters now good growth in that area. We may have a little bit of negative mix shift as we change our respiratory products and emphasize product a little bit more and the IPG should get better as we start to sales growth in the future.
Operator: And next we’ll move to Chris Cooley with Stephens.
Chris Cooley: I appreciate for taking the questions. Also congratulations on impressive continued progress in the transformation. Maybe just two quick ones from me and I'll get back in queue. When we look at slide 11 which of course kind of outlines and it’s a great summary there if your $100 you had a run rate target and how you get there. It looks like you’re clearly at or ahead of plan when we think about Europe, North America mobility and seating and then in the overall cost reductions in North America. With respiratory making progress in North America a little bit choppy over there. Would you just kind of maybe handicap for us how your overall confidence level and maybe how you see ways to get to that 25 million in incremental EBITDA contribution from postacute and respiratory in North America during the elicited timeframe and then I have got one quick follow-up? Thanks so much.
Matthew Monaghan: So page 11 is a updated version of a slide we’ve been using for a while that consequently shows these four tranches of $25 million of contribution with Europe subdivided into two equal parts of sales growth and cost reduction. If we kind of go through to those topto bottom. The Europe piece we feel very confident about we have good presence in the marketplace and good products. We’ve got seem a little bit of the low-margin product market combinations which we accumulated over time and we’re going to choose to do that in 2018. We have confidence we’ll back to growing in all the right ways of positive mix in 2019 and beyond. And then cost reductions there are lots of inefficiencies in our system which comprises many acquisitions over time. And we don't have yet the ability to take advantage of common electronic systems and phone systems and things like that fully enabling customer self-service. Things that the way customers and help us preserve margin and we’ll continue to implement those. Given the size of the business and the diversity of product and markets in Europe I have very strong confident that will achieved on time. North America similar level of confidence but performing better and eliminating the injunctive phase of the consent decree and one of our strongest product categories globally. We expect the ability to grow $50 million to $80 million in sales in North America seating and mobility to be quite good. And we expect that just to continue to crescendo over the next couple of years as people discover our products and get used to ordering and we perform well. And then in cost reductions at the bottom of the page there as we had noted we taken out I think $23.4 million of cost last year most of which again annualized not all of it yet. And we think there are more elements of efficiency still to be had in North America, but again the right customers make us easier to do business with and reduce cost. Probably in the risk area on the page is the postacute care respiratory sales growth which should be externally evident because our sales have been declining recently. Two different reasons in postacute care we’ve had temporary disruptions from time to time on big products like beds which if you’re not careful you’ll lose it all in freight when you try to expedite the recovery of those things because they are big and heavy. We don’t ship well very far but we think we have those problems solved and then it's just working with customers to make sure they appreciate the value of not only our product but the services that we offer with product. People in skilled nursing facilities in post-acute care not only have product needs to serve the residents, but they have other operational needs that we can uniquely help them with. In the aftermath of an audit as an example we can go in and help them with service audits, documentation audits help them with training and record keeping and do follow-up actually to help them perform better and often that includes but not always. We’re really partnering with post-acute care customers in that way and we expect that to continue to drive growth in the post-acute care business. Respiratory sales growth, a year ago it was 100% the modalities of products that are not as fashionable as battery powered portable oxygen concentrators. So, for us growing in portable oxygen concentrators is really important, and we have great product that has some unique benefits compared to all competitors out there. We look forward to that brand having a consumer known presence. But people should recognize that going from a 100% of everything else to some percent of portable oxygen concentrators will involve some cannibalization. Our HomeFill system has been a great deliverer of ambulatory oxygen since the late 1990s and it's a favorite of providers as a cost effective care. And for consumers, as it delivers long oxygen, is light weight, and zero cost, that currently anything with an aluminum cylinder is not fashionable. So, with our portable oxygen concentrator we expect to once again be a leader in the ambulatory space that we've been in since the late '80s or 1990s. But it's going to take some mix shift and some marketing dollars to compete with a lot of spending that's going on out there with consumers. We look forward to making those expenditures effectively with a lot of experimentation here in the second half of this year, that, as I mentioned on the prior question, we'll continue once we demonstrate how to pass that cycle.
Chris Cooley: Could just kind of help us walk through kind of the transition here, obviously the decline in the stationary and HomeFill, the growth in the POC, help us just kind of model the crossing of the lines there in terms of margin contribution and better understand when it looks the current or I should say the most recent quarter's results, when you look at the corresponding margin, how much of that is a function of the deceleration in growth versus the mix shift from a margin perspective?
Matthew Monaghan: That's a good question about respiratory. We have three essential products families in respiratory. Two are in the ambulatory oxygen, and one is in stationary. The ambulatory oxygen is the legacy HomeFill system, which is a good margin product for us reflecting the great value that it provides our providers and end users. It is a really great unit to unit to put out in service. These things typically last a decade with little or no maintenance. They go for a very long time and they're easy for our providers to do justice with their customers serving their ambulatory oxygen needs without a lot of hassle. Next in the margin line is portable oxygen concentrator, which is a really effective way to get out in the community and be ambulatory but not quite the same margin as our HomeFill system. And then in the stationary side of things, we go from 5 liter to 10 liters or more, but the 5 liter category depending on the market and competitive responses in certain periods of time can be relatively low margin. And we see discounts or free giveaways and things like that in the 5 liter space. So, that looks a little thin, we're careful on what we try to chase there in terms of yield to make sure that we have some minimum profit growth fast that we think is a pretty stable provider of oxygen for providers, but that's the mix. So as we kind of manage a reasonable amount of stationary to managed margin and keep our facilities at capacity or efficient, that's one part of how we manage the business. And then the other is, how much money we're spending and how much efficacy we're having delivering the new battery powered portable oxygen concentrator, which typically offsets customers capital use that would have otherwise gone to something like HomeFill and that ends up economically looking like slightly negative margin. But in the long run the battery powered portable oxygen space is growing at such a rate that we think the volume of that and slightly lower margins will be net positive for our gross profit line, as we get going there.
Operator: And next we'll hear from Matthew Mishan with KeyBanc.
Matthew Mishan: It's a lot of really good detail on the past $200 million of EBITDA in that Slide. I just wanted to get a sense from you that, where you are in the past today versus maybe where you thought you'd be kind of a year ago?
Matthew Monaghan: Sure, just about how to kind of distinctly go through this, let's do it geographically. So, if we go across North America first, difficult to predict the resolution of a consensus to create we had probably 9 to 12 month window of when we thought we could be a cutlet getting out of the injunction. And in terms of phase [indiscernible] and we got that done a little sooner than planned and it was really well timed with our launch of our Power Wheelchair to do with LiNX, out of that facility. So we were able to take advantage of both are great new products, and are free to manufacture and sell that product into North America. That was a little better than planned. Respiratory, that's been a little bit more challenging. That's a channel that we're not accustomed to being so effective in terms of the amount of efforts that has to go into consumer awareness. Normally we are selling to providers and the providers have the local partners and all that's required to be effective, but there's so many dollars going into media and forms of selling that, you got to compete with that in a different way. So, while we have a really great product that we're excited about to continue to innovate on, we've got to do more in the channel presence that's new for us, that's probably a surprise at a level of that versus a year ago. IPG continues to be, this is in transition, really strong market that we address, very good product. We have unique services that we offer in addition that are competitively different and better I think than some product only competitive offering. We've got to get that channel working and we've been working with our direct sales force and our providers to make sure that customers have a line of data and how to transact. And then really good on lifestyle, we've shed $100s millions of lower margin products in that business to focus on high value products and effectiveness of our product combination, the confidence of our customers and our sales channel that had shown several sequential quarters of growth there. So, North America, I would say on balance a little surprise on channel for respiratory and how we're going to go after that, a little surprised on the duration of the transmission IPG, I'm very pleased and more than happy with the business which is progressing. Europe, not surprising after years of constant growth that we have accumulated some products, market, contract combinations that were a little lower in that margin. We need to get the team, the opportunity to be able to get deeper into clinically complex products. So, with confidence in North America, we're giving a little bit of relief to Europe to move up market and focus on selling some of these other products [indiscernible] that to 2018, I wouldn't say it's a surprise, it really is an effort that we should expect. It's mild and we're really excited about the opportunities that we think we'll have in cost and efficiency savings and continued sales growth in 2019 and beyond. And then in Asia Pacific, that's a major team that's getting a tremendous amount done in the market we serve there. We're really pleased with the progress there. Saw those results clearly this quarter.
Matthew Mishan: And then on the freight cost, the expedited freight cost. Why would those continue over the next several quarters, what kind of catch up do you need in Europe to continue to run those kinds of costs?
Matthew Monaghan: Our objective is to make sure that not only they're great at what they're doing but they tip the efficiencies with doing a lot of similar types of things. And by going from a facility that was relatively small facility with a narrower products and to all of a sudden doing things that are coming from two additional facilities, which were in themselves already relatively high volume, they got a huge ramp up in France. It's a great operations team and technical support team, so we have confidence to do it, that's part of why we chose the French facility. We also chose the French facility because it's in a great geographic location in Central Western Europe, and we get logistics savings and we'll be able to serve customers very well with rapid deployment. It's just a huge ramp up in a short period of time, and as we run into kind of normal challenges of that much concentration of incremental volume and of spending a little bit more on incremental freight, the combination of the movement from Sweden to France, and Switzerland to France, will take a little bit longer than just one need. We didn't do those exactly at the same time, we started the deal move, it's overlapping with the shall move from Switzerland, it's not all going to get done in one quarter and so, we want to make people comfortable with that maybe a little bit of papering expedited freight as we get center of excellence up and running by the end of the year.
Matthew Mishan: And then could you give us a sense of the uptake on the connectivity strategy. Have you been able to collect enough data on cost-of-service to begin to sell the portfolio on that? And are you willing to go out and guarantee savings on cost-of-service in contracts with your customers?
Matthew Monaghan: It's an interesting question. We are really confident in the ability of our products to save our customer money in providing service an importantly beat their service provider because they are more integrated with their customers and their customers immediate needs. In competitions, where our product that has informatics that faced off with our competitors products. We have definitely been chosen because our customers self assessment their own contracts or evaluation that have run to determine to their satisfaction that our products do save that kind of money. So there are lots of variables that go into cost to save it’s not exactly like maintenance cost on CT scanner, X-ray in a very fixed environment. This people use cars or they use power wheelchair is a combination of cars, and sneakers and everything else that folks do and there a lot of factors in it. So what we are very confident that cost to operate that equipment in a fleet will be better. I don’t know that we’re sophisticated in isolating all the variables that go into the incurring cost the guarantee what that specifically will be but on a relative basis we’re very comfortable that it will be better than the alternative.
Matthew Mishan: And then last question, kind of bigger picture you're comfortable given free cash flow guidance for the year, you’ve kind of laid out a half towards the run rate in 3Q 2020 which in reality is only two years from today. Why not be comfortable enough to give kind of sales and EBITDA guidance for 2018 at this point?
Matthew Monaghan: Yes, good question we’re interested in giving guidance to help people understand what we we’re going to go through to get to that target. I'm comfortable that the results we accumulated to-date show that our ability to execute is reasonable given where we're trying to go with important in giving guidance is hitting it exactly and with the level of the skill that we become accustomed to provide by segment, by country, product growth and so on. There is still a lot of moving parts to do that. We’ll look at as we get you later into this year and see more predictability at the low level of details we can provide that level of guidance and we continue to be confident in managing the guidance to the guidance that we’ve given and cash flow which has an implied operating income guidance factor and people can draw a line over the last three years of progress and come to pretty narrow triangulation of where we’re going to be in the short-term oh it’s a combination of those things will continue to evaluate that.
Operator: And next we’ll move to Jim Sidoti with Sidoti & Company.
Jim Sidoti: Just trying to get a sense of the magnitude of the improvements for the mobility and seating products. You indicated in the press release the sales - so that the North American/HME business were up 2.3 million year-over-year. Should we assume that that's all feeding or could exceedingly be bigger than that because some of the other products actually were some ground or smaller than that?
Kathy Leneghan: So the growth in - I’ll take that call so the consolidated growth for North America/HME quarter-over-quarter was 2.3%, but if you take a look at mobility and seating alone it was well over 10% year-over-year.
Jim Sidoti: On an absolute sales basis it was up about 2 million in sales so is that 2 million is that all mobility and seating?
Kathy Leneghan: The majority of that would be mobility and seating, mobility and seating would be well over $3 million, by far was up as well but that would have been offset by respiratory declines.
Jim Sidoti: So if mobility and seating was up a little bit over 3 million and then when you talk about increases in investments in the sales and marketing. Can you just give us some sense are you talking tens of millions or somewhere in the $5 million for that?
Matthew Monaghan: I think well under 5, I think it's well under five may be $2 million or $3 million to get started we’ll definitely increase spending to reinforce anything that we determine it’s a good recipe to get brand awareness out there. So we’re starting small and in the focused areas as we figure out that respiratory will spend more than I think it just $2 million to $3 million probably – leading back half and we’ll see what next year looks like I don’t see $10 million in short-term.
Jim Sidoti: And then on the balance sheet inventory is up a little bit from the beginning of the year can you just tell us where that is?
Kathy Leneghan: Sure part of that is related to the product transfers that we alluded to in Europe so trying to grow inventory as a result of those product transfers to make sure that we had the right inventory for the transition. But also in the U.S. the U.S. will hit some issues on the supply-chain side of the house where we brought inventory in the first half of the year. And historically we do that, because historically the first half of the year we do bring inventory in and then we sell through it by the end of the year. So part of it is timing and part of it is the product transfers and at the end of the day we will sell through that by the end of the year and that will help us with the cash flow in the second of the year which historically above.
Jim Sidoti: And then the last question is, I know you're hesitant to give guidance, but you are making a lot of progress with the transition and I just want to be clear. If sales do remain flat for the next three or four quarters, we shouldn’t take that as a sign that I making progress. It sounds like the way your plan is going to rollout. We could see flat sales for at least another three or four quarters, but you still could get to those targets in 2020 is that correct?
Matthew Monaghan: Absolutely there is still a fairly large range of margin in our product portfolio. We’re comfortable we trend off things that are below and acceptable threshold, but within what we’ve kept which is a combination of products that are needed to complete for our customers and that operate wells in our facility footprint. We have this range we’ll continue to see mix move forward we believe but there may be periods where we have revenue flat through the little revenue decline as the example I mentioned little earlier on respiratory. We can have great product movement in one category, it can depend on product mix that’s driving margin but the EBITDA accretion got come from some combination of both. We might have a few quarters that are up down one ways. I think the strength and we’ll be exceeding the strength of lifestyle. And we don’t have product problem in IPG and lifestyle to the channel. So that’s a little easier to solve, we think that recipe sorted [indiscernible]. And in Europe after we do a little bit calling through the balance of this year, I think we’ve got lots of room to grow in the future across all the markets and all our product categories there no worries on Asia Pacific that continues to be really well. I think just a little move here in the back half of 2018 as we have mostly down across different segments of geography.
Jim Sidoti: So, as we look at the business over the next six or nine 9 months, what so you think is the most important factor for us to look at to determine how you doing is it the gross margin?
Matthew Monaghan: No, I am going to have to say it’s multi-factorial and its going to depends with the investments that we made in North America with seating and mobility and lifestyle have to continue to grow that should continue to grow and grow but I think that happen. We need to have a reversal in the decline of respiratory reflecting consumer's understanding we have a great alternative in IPG’s channel. So we’ve got growth in more than 50% of North America we should expect we got ourselves the challenges we have in IPG and respiratory in North America. Just two more quarters, I think we guided kind of 2% decline maybe a little over 2% it’s $10 million or $12 million constant currency in the total year. And we aren’t just growing again across all categories and I think no issue in Asia Pacific. Sorry for the complicated answer, we just going to have keep having these discussion of that segment geography level.
Jim Sidoti: And the 2% decline that was for the North America/HME business or that was.
Matthew Monaghan: For Europe.
Jim Sidoti: For Europe, sorry, okay. All right, thank you.
Operator: And that will conclude the question-and-answer session. At this time, I would like to turn the call back over to Matthew Monaghan for additional or closing remarks.
Matthew Monaghan: Thank you, Mitchell. And thanks for everybody for your time and attention on today's call and support us during this transformation. Kathy, Lois and I are available for follow-up questions which can be coordinated through Lois. Have a good day. Thank you.
Operator: And that will conclude today's call. Thank you for your participation.